Operator: Good day, ladies and gentlemen. And welcome to the Third Quarter 2012 Calumet Specialty Products Partners LP Earnings Conference Call. My name is Irene, and I will be your coordinator for today. At this time, all participants are in a listen-only mode. We will be facilitating a question-and-answer session toward the end of today’s conference. (Operator Instructions) As a reminder, this conference is being recorded for replay purposes. I would now turn the presentation over to your host for today’s conference, Mr. Bill Anderson. Please proceed, sir.
Bill Anderson: Thank you, Operator. Good afternoon. And welcome to the Calumet Specialty Products Partners investors’ call to discuss our third quarter 2012 financial results. During this call, Calumet Specialty Products Partners LP will be referred to as the Partnership or Calumet. Also participating in this call will be Jennifer Straumins, our President and COO; and Pat Murray, our CFO. Following the presentation, we will hold the line open for a question-and-answer session. During the course of this call, we will make various forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934. Such statements are based on the beliefs of our management, as well as the assumptions made by them and in each case based on the information currently available to them. Although, our management believes that the expectations reflected in such forward-looking statements are reasonable neither the Partnership, its general partner, nor our management can provide any assurances that such expectations will prove to be correct. Please refer to the Partnership’s press release that was issued this morning, as well as our latest filings with the Securities and Exchange Commission for a list of factors that may affect our actual results that could cause them to differ from our forward-looking statements made on this call. I will now turn the call over to Jennifer Straumins.
Jennifer Straumins: Thank you, Bill. We are pleased with our results for the third quarter. Our net income of $42.4 million, we have reported quarterly adjusted EBITDA of $121.4 million and quarterly distributable cash flow of $92.5 million. We continue to focus on our operations to meet the demand for our Specialty Products, the best benefit from widened crack spreads driven by Canadian heavy and Bakken crude oil differentials to NYMEX WTI and effectively manage our working capital requirement. As previously announced on October 1, 2012, we completed the acquisition of Montana Refining Company for aggregate consideration of approximately $184.8 million, net of cash acquired and excluding certain customary purchase price adjustments. Montana Refining produces gasoline, middle distillates and asphalt, which are marketed primarily into local markets in Washington, Montana, Idaho and Alberta, Canada. Montana Refining acquisition was funded primarily with cash on hand with balance through borrowings under our revolving credit facility. I’d also like to announce that we have completed the crude loading project at our Superior, Wisconsin Refinery. We will be loading Bakken crude into railcars for delivery into Shreveport. I’d like to thank all the people at Superior that contributed to that project and on October 16, 2012 we declared a quarterly cash distribution of $0.62 per unit for the quarter ended September 30, 2012 on all outstanding units. The distribution we paid on November 14, 2012, unitholders of record as of the close of business on November 2, 2012 and represents a 5.1% increase over the second quarter 2012 and a 24% over the third quarter of 2011. I’ll now turn the call over to Pat Murray for a review of our financial results.
Pat Murray: Thank you, Jennifer. Net income for the third quarter of 2012 was $42.4 million, compared to $19.6 million for the same period in 2011. These third quarter 2012 results included $22.1 million of non-cash unrealized derivative losses, as compared to $20.3 million of non-cash unrealized derivative losses in the third quarter of 2011. We believe the non-GAAP measures of EBITDA, adjusted EBITDA and distributable cash flow are important financial performance measures for the partnership. EBITDA and adjusted EBITDA as defined by our debt instruments were $91.4 million and $121.4 million respectively for the third quarter of 2012, as compared to $47.1 million and $70.5 million respectively for the same quarter in the prior year. The Partnership’s distributable cash flow for the third quarter was $92.5 million as compared to $50.5 million for the same period last year. The increase in adjusted EBITDA quarter-over-quarter was due primarily to a $61.8 million increase in gross , partially offset by $6.3 million of increased realized derivative losses and an increase in selling and transportation expenses. We encourage investors to review the section of our earnings press release found on our website entitled Non-GAAP Financial measures and the attached tables for a discussion and definitions of EBITDA, adjusted EBITDA and distributable cash flow, financial measures, and reconciliations of these non-GAAP measures to the comparable GAAP measures. Gross profit by segment for the third quarter for specialty products and fuel products was $90.6 million and $67.8 million respectively, compared to gross profit of $87.8 million and $8.8 million respectively for the same period last year. The increase in specialty product segment gross profit of $2.8 million quarter-over-quarter was due primarily to a 32.6% increase in sales volume and lower operating cost partially offset by 7.2% decrease in the average selling price per barrel. The increase in fuel products segment gross profit of $59 million quarter-over-quarter was due primarily to 76.4% increase in sales volume mostly as a result of Superior acquisition, a 5.9% decrease in the average cost of crude oil per barrel and the 0.7% increase in the average sales price per barrel, excluding the impact of those realized hedging losses reflected in sales, partially offset by increased realized losses on derivatives of $7.4 million. Due primarily to the extremely volatile nature of the pricing differentials between NYMEX WTI and Canadian heavy and Bakken crude oils during 2012, certain of our derivative instruments were not accounted for as hedges. As a result, we recorded a loss of $10.2 million to realize gain loss on derivative instruments instead of within gross profit in the unaudited condensed consolidated statements of operations for the third quarter. Total loss on settled derivative instruments reflected in gross profit and realized gain loss on derivative instruments combined was $51.9 million for the third quarter of 2012, an increased loss of $13.8 million quarter-over-quarter. Selling expenses increased $12.2 million quarter-over-quarter to $15 million. This increase was due primarily to increase amortization expense, primarily related to the reporting of intangible assets associated with our Missouri, TruSouth and Royal Purple acquisitions, additional employ compensation costs driven partially by the TruSouth and Royal Purple acquisitions, as well as increased advertising expense. General and administrative expenses increased $1.5 million quarter-over-quarter to $12.8 million. This increase was due primarily to additional employee compensation costs driven partially by the Superior, Missouri and TruSouth acquisitions, higher incentive compensation costs based on our results and higher professional fees, partially offset by $6.3 million gain related to the curtailment of certain benefits and benefit plans covering employees at our Superior Refinery. Interest expense increased $11.7 million quarter-over-quarter to $24.3 million, due primarily to additional outstanding long-term debt in the form of our 2019 and 2020 senior unsecured notes issued to partially fund our Superior and Royal Purple acquisitions. As of September 30, 2012, total capitalization consisted of Partners’ capital in the amount of $848.3 million and outstanding debt of $863.3 million, comprised primarily of $857.6 million of senior notes due 2019 and 2020, which is net of discount of $17.4 million. The $119 million increase in Partner’s capital from December 31, 2011 due primarily to net income of $160 million and a $149.7 of net proceeds from the May 2012 public offering -- equity offering, partially offset by $94.2 million in distributions to our unitholders and $97.2 million in other comprehensive loss. On September 30, 2012, we had availability of $477.8 million under our $850 revolving credit facility, based on a $658.5 million borrowing base and a $180.7 million in outstanding standby letters of credit. We believe that we will continue to have sufficient cash flow from operations and borrowing availability under our revolver to meet our financial commitments, minimum quarterly distributions to our unitholders, debt service obligations, contingencies and anticipated capital expenditures. And now I’ll turn the call over to Jennifer.
Jennifer Straumins: Thank you, Pat. This concludes our remarks. We’d now be happy to answer any questions you may have. Operator, can you please confirm if there are any questions?
Operator: (Operator Instructions) First question comes from the line of Michael Peterson from MLV & Company. Please proceed.
Michael Peterson - MLV & Company: Hi. Good afternoon, folks. I have a question with regard to your distribution coverage. The coverage is the testament I would argue to the partnership's business model, but it leads to questions with regard to delivering value to the unitholder. If you could clarify your perspective in terms of distribution growth acquisitions, other venues that would enable a unitholder to tap into strong earnings that you’ve been delivering in the last couple of quarters?
Jennifer Straumins: Sure. Our distribution policies have always been very conservative, and we recognized that at this point in time, being a Mid-Continent refinery. We are in a period of outrageous cracks spreads and we prefer to take those, take the extra cash that we have been generating and continue to grow the company through both organic and organic growth via an acquisition. So that way, this crack spreads and these margins return to more normal period. We will able to sustain the distribution that we have -- not have to lower, so we are not considered to be a variable distribution MLP, which we are certainly not.
Michael Peterson - MLV & Company: Okay. That’s helpful, Jennifer. Thank you. If I would paraphrase that, would it be fair to say that your most recent increase is something that you view to be sustainable over the next number of years?
Jennifer Straumins: Yeah. 
Michael Peterson - MLV & Company: Okay. Okay. Could you clarify -- upon the completion of the Shreveport rail refinery, what impact that's going to have on your rail fleet? It looks to me kind of back of the envelope, like you probably require about a unit train every other day and maybe turnaround times of about one week. Does that fit with what the utilization would be?
Jennifer Straumins: What we’ve done, when we acquired Superior, we ordered 400 new railcar and plan on -- I’m learning about 15 cars a day. Loading is about 15 cars a day at Superior for delivery down to Shreveport. And these are not unit trains facility, this are manifest train facilities.
Michael Peterson - MLV & Company: Okay. And last question, do you have any kind of an update, any news flow on the GTL pilot project that to you announced?
Jennifer Straumins: We are continuing to gather all the requirements for that project. We are working with our partners, Ventech, Velocys and Haldor Topsøe. So designing that project and we expect to have a cost estimate by the end of the year.
Michael Peterson - MLV & Company: Okay. That’s helpful. Thank you for your insight and congratulations on a nice quarter.
Jennifer Straumins: Thank you.
Operator: And your next question comes from the line of Cory Garcia from Raymond James. Please proceed.
Cory Garcia - Raymond James: I appreciate it. Great, quarter guys and then I do appreciate some of the color you guys went into with regard to the selling and G&A carvels. What sort of run rate should we be modeling on issues? There’s been a pretty significant bump in the last several quarters, given the number of acquisitions you guys have been able to accomplish? Just curious as to where you guys see that playing out on more of a normalized run rate basis?
Pat Murray: Well, I think, obviously the fourth quarter or the third-quarter run rate, but for the Montana acquisition would give you some indication of kind of where we think we are going to be. Yeah, I would mention that in some of the expense increase in this current quarter. As we mentioned it’s non-cash related to amortization of intangible assets associated with some of the acquisitions that we’ve done recently. So, I think there might be a good place to kind of start is kind of look at the third quarter. And if you trying to get through cash expenses, we will offer some color of that probably in the Q.
Cory Garcia - Raymond James: Okay. Now that would be great. And then I guess with regard to your Great Falls acquisition you guys disclosed. Any more detail on the amount of synergies you guys are expecting clear that there is not as sort of real opportunity down from Superior to Louisiana refineries. Is there is still sort of that opportunity on a great fall standpoint, is there integration between Great Falls and Superior, how should we kind of look at this asset within your overall midwest portfolio.
Jennifer Straumins: Yeah. I think there is some asphalt marketing synergies between Shreveport, Great Falls and Superior. Certainly, we acquired this asset because of its niche locations and the products reduced out of it. There are no SG&A synergies anything like that. We are not reducing headcount. We are pulling any corporate functions in Indianapolis at this point in time. So, really, it’s just additive to what we are already doing and there will be crude synergies perhaps in the future. But certainly the asphalt marketing will be what we take care of ours.
Cory Garcia - Raymond James: That’s helpful. Thank you.
Jennifer Straumins: Thank you.
Operator: And your next question comes from line of Kelly Krenger from Bank of America-Merrill Lynch. Please proceed.
Kelly Krenger - Bank of America-Merrill Lynch: Hi. Thanks. Just a couple of questions. One on the crude loading project that you have completed, what that due for your I guess cost of crude or your crude slate, particularly down in Superior -- not Superior, Shreveport.
Jennifer Straumins: We are running all three at Shreveport right now, and we've been running some Bakken at Shreveport that we’ve bringing it in from North Dakota and paying higher premium for those barrels then what. We should have to bring it out of the Superior refineries. And part of that discount will be based on what the WTI Bakken spread is. The transportation is about $7 to $8 of barrels to get it from Superior down in the Shreveport. And we are anticipating between $7 and $10 of reduced base, of reduced crude costs on those barrels the Shreveport base on what we had in running prior to the ExxonMobil pipeline going down.
Kelly Krenger - Bank of America-Merrill Lynch: So you are not running -- at Shreveport, you haven’t being running any breadth based -- not necessary breadth but breadth based crude pricing like LOOP or anything like that.
Jennifer Straumins: The majority of our Shreveport barrels are priced after WTI.
Kelly Krenger - Bank of America-Merrill Lynch: Okay.
Jennifer Straumins: And we’ve not been running any imported crude at Shreveport since April when the ExxonMobil pipeline went down.
Kelly Krenger - Bank of America-Merrill Lynch: Okay. And then you noted that you paid most for the one tailor refinery primarily with cash. But can you give us a sense for -- as we sit here today, I don’t know if today is a good day relative to kind of your normal cash cycles or your credit facility drawing cycles. But was that I mean I noted you had $190 million of cash on balance at the end of the quarter, was that mostly paid for with cash or how much did you draw down on the revolver to close that acquisition?
Pat Murray: Yeah. I mean we did the cash on the balance sheet and like we said, we -- it’s probably a 95%, -- 5% split between the two. We’ll probably provide a little more color in our Q on that, but the lion share of the cash, it was available was used for that.
Kelly Krenger - Bank of America-Merrill Lynch: Okay.
Pat Murray: And then ongoing we see -- and we do see some working capital synergies based on kind of where there balance sheet was at the time of acquisition, where we think we can go with it going forward. But we’ve done a work called that out over the coming quarters.
Kelly Krenger - Bank of America-Merrill Lynch: Okay. And then I mean look like you have the good working capital quarter. Is there anything…
Pat Murray: Yeah.
Kelly Krenger - Bank of America-Merrill Lynch: Unusual in the quarter or what should we expect kind of going forward?
Pat Murray: I think it’s important to contrast this end of the second quarter and the end of the third quarter. Ones, that the biggest jump really is in the payables and we spent little bit a time I think on the last conference call talking about what we’ve done at the end of the second quarter to save LC cost, because of the amount of cash we had on the balance sheet. We ended up sort of using, limiting the number of the LCs that we had in -- altering the crude payment cycle slightly at the end of the quarter. And then given that we closed on Royal Purple and utilized that cash, we can came back at the end of this quarter and create more of the normal payable cycle for ourselves and we increase piece of what pieces of letters of credit. We also have been enjoying increased credit lines from suppliers to that hence lot us to get payables higher. Those -- that was a main driver and its working capital change. I mean I think going forward, our working capital tends to say fairly stable across a certain crude oil price range, we do see of course, now at the addition of superior and Montana we will see a little bit of winter field builds in the asphalt, but nothing extraordinary.
Kelly Krenger - Bank of America-Merrill Lynch: Okay. And then anything new or different note in the specialty side in the business and demand still good or does that business still kind of going that, it has been for most of the year?
Jennifer Straumins: Yes. It is. Yeah. Demand is still good. The plans are running very well. We expect to finish the year strong.
Pat Murray: Okay. And one last one on hedging. For 2013, I guess can you just give us sense for how you feel about your hedge book kind of beyond this year kind of for '13 and '14?
Jennifer Straumins: Yeah. We’re very pleased that the numbers we are hedge that. We are hedge in the mid-20s for 2013 and '14. We are running some hedges on for 2015 already. So, we're feel great about being able to lock into three years is very strong earning.
Kelly Krenger - Bank of America-Merrill Lynch: From a volume standpoint for next year looks like you got about 21,000 barrels a day hedge does that or you comfortable or do you model layer more and/or how you thinking about that?
Jennifer Straumins: It just depends on the opportunities. We are seeing some very strong diesel cracks right now. So, we will continue to layer goes in, all policies -- lets it hedge upto about 70% of our plan production. And I don’t know that we will go that higher but certainly the comfortable growing higher than we are at right now.
Kelly Krenger - Bank of America-Merrill Lynch: Okay. Thank you.
Jennifer Straumins: Thanks, Kelly.
Operator: And your next question comes from the line of Eric Seeve from GoldenTree. Please proceed.
Eric Seeve - GoldenTree: Hi, guys. A few questions if we were ask, please just skip over my apologize as I having some phone problems. But it looks like in specialty segment sequentially volume for a little bit weaker, if you back out the new line item, which I think represents Royal Purple, which is package and synthetic specialty products. Can you just comment a little bit on what you are seeing in that market and do I have that right that the package and synthetic specialty products represents the Royal Purple?
Jennifer Straumins: That’s Royal Purple and the ester business out of Missouri and TruSouth. So, it will be various three facilities. And the some of the specialty volumes are down just because we have been earning some reduced crude rates to Shreveport due to crude availability and the completion of the rail project that should for end up superior. So it was more plan related than demand related.
Eric Seeve - GoldenTree: So, should I expect to pickup in the Q4?
Jennifer Straumins: I am not going to pickup in the Q4. The big pickup will come in the -- in Q1. I mean we are just now getting that rail project today is a first day, we are learning cars by the time they get down there and I am learning that process. It will be the end of the month and then things always slowdown in the last four, five extra year with some a lot of customers plan turnaround activities that I really to expect to increase to come in the first quarter.
Eric Seeve - GoldenTree: Okay. Great. And with respect to the rail…
Jennifer Straumins: Increased.
Eric Seeve - GoldenTree: Okay. And with respect to the rail project, it doesn’t necessarily look from the lease the screen but I see which I am sure lot less sophisticate and what you see that buying crude, shipping crude of $7, $8 from the Bakken down to reported really much better than buying WTI. So, it doesn’t seem like today anyway the rail project would be highly economic to run, am I missing something?
Jennifer Straumins: The barrel that replacing our Brent price barrels.
Eric Seeve - GoldenTree: So, how many roughly what proportion of production Shreveport had been sort of Brent linked?
Jennifer Straumins: 15,000 barrels a day.
Eric Seeve - GoldenTree: Okay. And in terms of the impact of the improved profitability resulting from this, is this mostly Q1 as well or should we see some in Q4?
Jennifer Straumins: There will be mostly Q1 as well.
Eric Seeve - GoldenTree: Okay. Okay. Thank you. Can you talk a little bit about you have been active in the M&A front going forward are you digesting things now or you still there are looking and if you looking strategically where the thing that you are thinking about?
Jennifer Straumins: We are always looking, because is always good opportunities. Continue really our business is two fold we are continuing to look at niche refining assets and we are continuing to look at specialty product opportunities, it won’t be our acquisition charges different extensive throughout 2012.
Eric Seeve - GoldenTree: Okay. Great. Thank you.
Jennifer Straumins: Thank you.
Eric Seeve - GoldenTree: And just lastly, with respect to Montana, it’s sound like strategically you are not going to operate the heck of lot differently and it’s been operator and there is now integration or synergy opportunities but more its -- another pitch for the portfolio. Can you give us a little color on what normal CapEx is that refinery or there are any big CapEx requirements in the next few years. And obviously it’s benefiting right now from terrific spread in some of the North American crude prices, but longer term what do you think if they sort of sustainable mid cycle EBITDA level for that?
Jennifer Straumins: We really don’t breakout EBITDA by plant. So, I get always speak to that, but obviously they are benefiting right now with they are running a Canadian heavy barrels, so they are benefiting from the white Canadian and WTI kinds of spreads. But also you have the niche refinery serve their local markets. So, they’ve always in our benefited from higher margins than where a crude cost, so don’t foresee that really changing in the coming years. And as far as CapEx they do have a turnaround plan in the third quarter that would be around $10 million turnaround and then just sustainable ongoing CapEx to be filing $10 billion a year. And we do have some significant growth plans for this facility that we’re working on right now and will be talking more about in the future.
Eric Seeve - GoldenTree: So $5 million to $10 million of CapEx and extra $10 million in Q3 of ‘13 for turnaround?
Jennifer Straumins: That’s correct.
Eric Seeve - GoldenTree: Okay. And how often do the turnarounds take place?
Jennifer Straumins: Every four to five years.
Eric Seeve - GoldenTree: Okay. Great. Thanks very much.
Jennifer Straumins: Thank you.
Operator: And your next question comes from the line of Eric Udoff from Appaloosa. Please proceed.
Eric Udoff - Appaloosa: Hey guys. Great quarter.
Jennifer Straumins: Thank you.
Eric Udoff - Appaloosa: Just wanted some clarification, could you just walk in through what EBITDA would have been, if people were unhedged through the quarter?
Pat Murray: If we were unhedged, it would have been $50 million higher for the quarter.
Eric Udoff - Appaloosa: So it would have 171 million?
Pat Murray: That’s right.
Eric Udoff - Appaloosa: Great. That’s helpful. And just -- if I missed it, what was the contribution from Royal Purple acquisition in the quarter.
Jennifer Straumins: What was your question? The contribution of Royal Purple.
Eric Udoff - Appaloosa: Yeah. That’s right.
Jennifer Straumins: We don’t disclose plan-by-plan economics. So we don’t share a lot of detail. There is too many intercompany synergies between all the facilities that we don’t take it out like that.
Pat Murray: We’ve filed -- we’ve got some historical financial statements on file for Royal Purple to give you some frame of reference but we don’t break out the results by facility.
Eric Udoff - Appaloosa: Okay. Great. Well, thank you for answering the question.
Operator: Your next question is a follow-up from Eric Seeve from GoldenTree. Please proceed.
Eric Seeve - GoldenTree: Thanks. I see that SG&A has ramped up a little bit from Q1 to Q2 to Q3. I’m just trying to get sense of going forward. I don’t know if there was a lot of M&A clause embedded in that summary but just trying to get a sense going forward. What should investors in the company present?
Pat Murray: Yeah. I think that couple of things are going on there. There are some professional fees in the results. We’ve also with the acquisitions of Royal Purple primarily. There is fair amount of amortization now of intangible assets and so that kind of ramped up the number a bit. I think ongoing and looking forward, I think maybe its try best to take a look at where we are in the third quarter but for some incremental from Montana but probably not a lot and look at that as probably is an ongoing run rate.
Eric Seeve - GoldenTree: So you got between selling and G&A, you’re just under $28 million and in Q3. And it sounds like going forward, it should be maybe a little bit higher than that due to Montana. Do I have that right?
Pat Murray: Right.
Eric Seeve - GoldenTree: Thank you. And then just my last one is just, I know my records maybe there have been some thoughts on breaking out a separate segment for Royal Purple and some of the others -- so many others would have non-refining assets as their own segment. Is that still under consideration or are you guys are going to stick with what you got? 
Pat Murray: Our provision of the revenue data on that separate lion item at this point is where we’re going to be. I mean they are -- we considered it at this point. We think that this provides bit more visibility that we’ve had in the past and for now that’s where we’re going to be with it. Staying in the two segments for giving everybody some additional revenue data on those pieces of the business in that line item.
Eric Seeve - GoldenTree: And that line item is by virtue of the package and competitive specialty products.
Pat Murray: That’s correct. As Jennifer mentioned that includes [Ashland] plant in Missouri, Royal Purple and through South.
Eric Seeve - GoldenTree: Just an observation from an investor teams to meet. There might be something that if you give more disclosure the market might be able to -- might be easier for the market to attribute a higher valuation multiple teams which should be more stable and less capital intensive earnings stream associated with that but…
Jennifer Straumins: We’re trying to balance that with our competitive situation. We operate in very specialty industry with very few competitors. We’re trying to weigh the best interest as everybody.
Eric Seeve - GoldenTree: Thanks again for your help.
Jennifer Straumins: Thank you.
Operator: And your next question comes from the line of Michael Peterson from MLV. Please proceed.
Michael Peterson - MLV & Company: One, if I can have just a brief follow-up. If you can give us an update in terms of the M&A outlook. When we last spoke, you suggested that the likelihood of something to the year end was diminishing. Has that changed and what’s your outlook in general in terms of the next number of quarters?
Jennifer Straumins: We’ve talked a little bit on this call about M&A activity. We’re always looking for something. We’re always trying to put ourselves out there and take advantage of whatever is available. I can’t really speak to anything that could or could not, may or may not happen before the end of the year. When the time is right -- if the time is right, we’ll be issuing press releases that we -- we continue to be trying to be active in the M&A market.
Michael Peterson - MLV & Company: Okay. Thank you.
Operator: And I would now like to turn the call over to Bill Anderson for closing remarks.
Bill Anderson: Thank you, Operator. This concludes the Calumet Specialty Products Partners earnings conference call covering the company’s third quarter 2012 results. Thank you very much for your participation in the teleconference. Please note that this teleconference will be available for replay using the instructions contained in our press release.